Operator: Greetings and welcome to the Aerojet Rocketdyne Third Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kelly Anderson, VP of Controller and Investor Relations. Thank you Kelly, you may begin.
Kelly Anderson: Thank you. Good morning and welcome to the Aerojet Rocketdyne third quarter 2022 earnings results conference call. Leading our discussion today are Eileen Drake, Chief Executive Officer and President; and Dan Boehle, Chief Financial Officer. Following their prepared remarks, we will open the line for your questions. Before we begin the call, I’d like to remind you that our remarks this morning may contain forward-looking statements that relate to the future performance of the company. And these statements are intended to qualify for the Safe Harbor protection from liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance. And factors that could influence our results are highlighted in today’s press release and others are contained in our filings with the Securities and Exchange Commission. Such statements are based upon information available to the company as of the date hereof and are subject to change for future developments. Except as required by law, the company does not undertake any obligation to update such statements. Our remarks this morning and in today’s press release also contain non-GAAP financial measures within the meaning of Regulation G promulgated by the Securities and Exchange Commission. Included in such release is a reconciliation of these non-GAAP financial measures to the comparable financial measures calculated in accordance with GAAP. Finally, we have posted supplemental slides regarding our quarter that are available on Aerojet Rocketdyne investor relations site for download which we encourage you to review. With that, I’d like to turn the conference call over to Eileen Drake, Chief Executive Officer and President of Aerojet Rocketdyne. Eileen, please go ahead.
Eileen Drake: Thanks Kelly and good morning everyone and welcome to Aerojet Rocketdyne’s third quarter 2022 earnings call. Today, I’ll discuss our results for the quarter at a high level and touch on our longer-term objectives for the business. I'll then turn it over to Dan for a review of our financial results, macro trends and Outlook. I'm pleased to share that Aerojet Rocketdyne demonstrated strong operating profit and improved cash flow for the quarter. Adjusted EBITDA was nearly 14% in Q3, and free cash flow was $22 million, keeping us on track for positive cash generation in the back half of the year as expected. Sales for the quarter were also out both sequentially, and year-over-year. Book-to-bill is 0.9 on a year-to-date basis, and backlog remains healthy at 6.7 billion underscoring Aerojet Rocketdyne as a preferred supplier for our nation's defense and space systems. Our focus in Q3 remained on supporting our defense development programs, which continue to perform well as they mature. This includes a next generation interceptor GBSD now called Sentinel, and Hypersonics programs, all of which were solid performers. At the same time, we're enhancing our competitive position through strategic investment, operational efficiencies and cost controls. This will support sustain profitable growth across our programs. We did continue to experience some headwinds to sales related to supply chain delays, most notably on the RS-25 program. However, the program is meeting its material -- plan in October, and we continue to believe the timing delays are short-term in nature. RS-25 sales were up from 13% of sales in the second quarter to 15% of sales in the third quarter, and this trend is expected to continue through the fourth quarter. It's important to note that Aerojet Rocketdyne’s RS-25 engines are not impacting NASA's Artemis launch schedule in any way. The RS-25 engines for the first two autonomous launches have already been delivered to NASA, and engines for the third and fourth launches are complete and nearly complete respectively. As you will recall from last quarter, we took a significant charge on a portion of the steel and missile program, resulting from supply chain issues, combined with an outlook from the U.S. government and customers that they would like to increase annual production rates. As an update on that contract, I'm pleased to tell you that we're on target with our plan to substantially increase annual production capacity, which included opening a second production facility earlier this month. We feel confident that this proactive investment will not only allow us to complete our current contract within the period of performance, but also puts a capacity in place to address the anticipated quantity increases starting in 2024. We remain confident in our ability to hit our revenue and adjusted EBITDA targets excluding EAC adjustments for the year. And Dan will expand on this in his comments shortly. Turning now to our long-term objectives, we are intently focused on investing in line with our nation's defense and space priorities and driving improvements to our competitive edge to position Aerojet Rocketdyne for enhance shareholder value creation. I'll start with the work we're doing to provide reliable and innovative products for America's national security and support a diversified mix of Defense and Space Programs, several of which we've outlined in our supplemental slide deck. On the Defense side, we're continuing our work on Sentinel, the nation's next ground based strategic deterrent, including advancing the development of both the third stage lodge solid rocket motor and the post boost propulsion system. Among other milestones, we announce that we successfully conducted the post boost propulsion system critical design review for Sentinel, passing a major review gate on the path to flight readiness and paving the way for fabrication, demonstration and testing of propulsion components prior to production. We are also pleased to announce that Aerojet Rocketdyne was selected to power the Navy's compact, rapid attack weapon or CRAW as part of the Raytheon Missile Defense teams development of this next generation torpedo. Our company will provide the after body propulsion system and tail for the new torpedo. The new torpedo will use innovative Stored Chemical Energy Propulsion System or SCEPS, which will significantly improve its capabilities. This work will build on the successful testing of a SCEPS lithium boiler earlier this year, which we developed through our R&D investment at our Coleman Aerospace facility. In addition to the use of SCEPS, or compact, rapid attack weapons, torpedoes will also want to contract to the U.S. Navy to develop SCEPS for the Navy's torpedo Mark 54 MOD 2 torpedo. Against the backdrop of these program wins, we’re also advancing important work in hypersonic and counter hypersonic tests and development. As we've talked about previously Aerojet Rocketdyne is an industry leader in hypersonic propulsion technology, which will be increasingly important to us as we look to the future. Turning now to space. We're looking forward to NASA's Artemis 1 launch in just a few weeks. The Company has provided critical elements to the Artemis 1 mission with propulsion on both the SLS rocket and the uncrewed Orion spacecraft. Artemis 1 is the first in a series of missions to return American astronauts, including the first woman in the first person of color to the moon. This launch will come on the heels of NASA's Double Asteroid Redirection Test or DART, in which a spacecraft impacted a near Earth asteroid propelled by 12 Aerojet Rocketdyne thrusters. The goal of this mission was to demonstrate a method of asteroid deflection by deliberately striking an asteroid at high speed to change the asteroids motion in space. As a spacecraft closed in on the asteroid, a flight proven propulsion systems conducted last minute cost corrections to ensure its accurate impact. In addition to providing the chemical propulsion system for the spacecraft, Aerojet Rocketdyne’s NASA Evolutionary Xenon Thruster Commercial or NEXT-C system was also tested during the mission to assess the thruster’s potential application for future deep space missions. NEXT-C is a next-generation solar electric propulsion system designed and built by Aerojet Rocketdyne based on mission proven technology developed at NASA's Glenn Research Center. This quarter Aerojet Rocketdyne also provided all of the thrust needed to power the successful launch of a United Launch Alliance Delta IV Heavy rocket carrying a classified payload for the National Reconnaissance Office. ULA used our reliable and flight proven RS-68 and RL-10 propulsion systems, which have delivered 100% mission success since the Delta IV programs inception. Two remaining Delta IV heavy launches are slated for the first quarters of 2023 and 2024. In addition to our strong alignment with National Defense and Space priorities, we're also taking actions to increase efficiency, manage our costs, and position the company for a strong and successful future. Today, I want to highlight our investment in a few of our facilities to make us more competitive. This quarter, we opened a new 51,000 square foot building in Camden, Arkansas, which consolidates multiple manufacturing activities under one roof, with the ability to eventually support large scale, solid rocket motors to power next generation missiles. The new facility integrates solid rocket motor manufacturing activities, improving operational efficiency, increasing production capacity, reducing costs and providing even safer operations. The facility results in reduction of the need to transport motors across our campus site during manufacturing by more than 90%. The first program to begin production and the new manufacturing facility is the propulsion system for the PAC-3 missile segment enhancement. We're also leasing a new facility to expand our presence in Huntsville, Alabama by nearly 380,000 square feet. This will provide additional job opportunities and builds on a 700% increase over the last five years, and the number of employees we have working at our facilities in Huntsville. This facility solidifies Huntsville as our Earth Manufacturing Center of Excellence and expansion allows us to increase defense manufacturing capacity once it becomes operational and 2023. In addition, we're delivering results from prior long-term investments in our Huntsville, and Camden facilities. We previously transferred production of large solid rocket motors to these sites as part of our competitive improvement program. Our teams at those facilities are incorporating innovative materials, and applying efficient manufacturing processes to design and produce the advanced technology systems needed to power defense across multiple domains. For example, this quarter with the Air Force Research Laboratory, at Air Force Base, California, we successfully tested a next-generation large solid rocket motor called eSR-19, which was designed and fabricated in Huntsville and cast and cured in Camden. This advanced solid rocket motor improves cost and performance by incorporating a graphite composite case and affordable advanced nozzle and a high energy long life solid propellant. A demonstration of this new capability is directly applicable to legacy large solid rocket motor applications, and is a building block for multiple systems under development today. Before handing the call over to Dan, I want to reiterate that we continue to execute on our goals and are making strong progress to position the company for the future. We’re investing in new capabilities, which directly support our nation's defense and space priorities, as well as increasing our capacity to meet growing demands for our products. With that, I'll turn the call over to Dan and join you later to answer questions.
Dan Boehle: Thank you, Eileen. And thank you all for joining us on today's earnings call. Today I'll discuss the year-over-year results for our key metrics and update you on some of the actions we have taken to mitigate the on-going supply chain and hiring challenges we discussed last quarter. As a reminder, we will not provide formal guidance today. But that is something we will attempt to do beginning early next year. Our third quarter sales were approximately $550 million, up 1% from the prior year and up 4% from the prior quarter. The increase over the prior year is driven by higher volume on NGI and Standard Missile partially offset by GMLRS and RL-10. On a year-to-date basis, sales were approximately $1.6 billion, which is comparable to the prior year. Sales continue to reflect supply chain delays and on a year-to-date basis the impact from the reversal of revenue on a portion of the Standard Missile program that we discussed last quarter. On the supply chain front, the most significant driver continues to be the RS-25 program, as our suppliers experienced longer lead times than previously expected and we continue working through first article certification testing as we restart this program. We continue working closely with our customers and suppliers and we are meeting our material receipts planned for October. As Eileen mentioned, our RS-25 sales increased sequentially in Q3. And we expect that trend to continue through the end of the year. While the remainder of our portfolio programs in both defense and space aren't seen individually significant impact on supply chain delays, there are pockets of delays that have slowed our sales growth in the quarter. Last quarter, we also discussed the hiring challenges to support anticipated second half sales. We are seeing improvement on this front, having reduced the number of open positions from 400 to about 250. We continue to accelerate our hiring efforts to support anticipated fourth quarter sales. Both the prolonged impacts from supply chain delays and workforce challenges have led to slower than anticipated sales growth in the current quarter and anticipated to continue into the fourth quarter. We still expect our current year revenue growth to be in line with our long term target of low-to-mid single digits. Switching now to backlog, our book-to-bill ratio was 0.9 in the first nine months of the year, bringing total backlog to $6.7 billion, which is equal to approximately three times our annual sales. The strong backlog position reflects the contract winds that Eileen discussed. Also as a reminder, backlog includes the RL-10 contract signed with ULA in the second quarter for Amazon's Project Kuiper satellite broadband system as well as a number of key multi-year contracts such as RS-25, RL-10, Standard Missile, PAC-3 and THAAD which were signed over the past several years. This backlog does not yet include orders for Stinger and Javelin associated with the on-going war in Ukraine. However, we anticipate that we will see growth in demand for these products over the near-to-midterm, and are investing in the modernization of our facilities to increase capacity and efficiency in anticipation of this demand. In addition to this strong backlog, the durability of our many long lifecycle franchise programs, and a potential we see from our development programs give us confidence that we will continue to experience tremendous demand for our products to the rest of the decade and beyond. Moving on to profitability, our adjusted EBITDAP for the third quarter of $75.7 million was an increase of 82% from the prior quarter, and a decrease of 8% from the prior year. The year-to-date adjusted EBITDAP of $186.5 million was an 18% decrease from the prior year, driven by the unfavorable cumulative contract adjustment in the second quarter related to the portion of the standard missile program. In addition, that third quarter of last year included a significant favorable contract adjustment on the RL-10 program, which provided a headwind to the current quarter and year-to-date period comparisons. The underlying profit margin run rate is continuing to improve across our program portfolio with adjusted EBITDAP margin for the third quarter at a very strong 13.8%, bringing the year-to-date margin rate to 11.7%. These are below the prior year margin rates of 15.1% and 14.2% for the three and nine month periods respectively. Due to the prior year favorable contract adjustments in RL-10 and RL-68 and the current year unfavorable contract adjustment from a portion of the Standard Missile program. Excluding EAC adjustments from sales and adjusted EBITDAP for all periods, the underlying adjusted EBITDAP margin increased year-over-year from 13.4% to 13.7% in the third quarter, and from 12.5% to 13.6% in the nine-month period respectively. On-going program and operational performance improvements across the portfolio and stringent overhead cost management that contributed to steady margin growth for the quarter and year-to-date. For the year-to-date, the primary drivers of increase in adjusted EBITDAP excluded EAC adjustments were increased profitability on THAAD, and the remaining portions of Standard Missile as well as lower stock compensation expense. With our diverse portfolio of new development contracts and legacy production contracts which are performing very well, we continue to believe we can achieve a long term adjusted EBITDAP margin rate of 14%. Lastly, our free cash flow for the third quarter was positive $22.3 million as we work diligently to decrease our working capital. This compared to an inflow of $70.2 million in the same period of the prior year. For the nine months year-to-date, we have had an outflow of $98 million as compared to an inflow of $78.1 million in the same period of prior year. As I mentioned last quarter, the current year-to-date negative free cash flow is largely impacted by working capital growth on large multi-year fixed price contracts in defensive business units. We enjoyed strong cash flows over the past three years from these multi-year contracts. But that makes 2022 and 2023 more challenging until we begin a upward cycle again, with new multi-year contracts beginning in 2024. In addition to these programmatic drivers, year-to-date free cash flow also reflects higher cash taxes in the prior year given the change in treatment for research and development expenditures, which is an item affecting everyone in the industry. We've also incurred $46.5 million and unusual expenditures related to the proxy contest and related litigation, other legal matters and costs related to the terminated Lockheed Martin merger agreement. We expect to have strong cash flow in the fourth quarter. In terms of broader balance sheet management on September 19, we completed the cash redemption of all outstanding convertible notes. We paid $242 million in cash to settle the approximately $146 million in principle plus premium and accrued interest. In connection with this transaction, we recognize the one time non-cash charge of $22. 6 million related to the change in value of a derivative that was created when the redemption notice was issued. As previously mentioned, redemption of these notes will be $0.03 accretive to our diluted EPS for the year and $0.10 accretive on a full year basis going forward, however [ph] the non-cash charge related to the derivative had a negative impact of $0.07 on the third quarter and year-to-date diluted EPS. We ended the quarter with total cash and short term investments of $346.7 million and continued our long standing unlevered balance sheet position with net cash of $39.1 million. We continue our focus on managing our working capital to generate predictable, free cash results over the long term. As a closing thought, we remain enormously confident in the business based on the strong demand for our innovative products and the execution of our team. Looking ahead as Eileen discussed, we are invested in line with the nation's top Defense and Space priorities, driving improvements to enhance our competitive edge and positioning the business to increase value for our shareholders. With that operator, please open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Scott Forbes with Jefferies. Please proceed with your question.
Scott Forbes: Hi, Eileen and Dan. Dan, you've talked about slightly positive free cash flow for the year and you pointed to an expected strong Q4. How do you think about some of the main drivers into that implied Q4 inflection? And how are you thinking about the broader moving pieces into 2023?
Dan Boehle: So thanks, Scott. Good morning. We do expect a strong fourth quarter, we generally do have a stronger fourth quarter in cash, most of that will be driven by collection on receivables. So it's mostly just a working capital burn down and delivery on products towards the year end. Going into next year, as I did mention a couple of years of challenge to get to our goal of 100% of net income. So we will do better next year, as we continue to work down working capital, the long term working capital on those multiyear contracts. So we'll come up that scale a little bit next year. But we won't get back to 100% until the following year.
Scott Forbes: Thank you. And then Eileen, maybe just take a step back, you're emerging from a proxy battle, there have been some press reports out there about the future of the company. I mean, broadly, as you think about the future, how are you thinking about the value drivers and the roadmap to drive equity value going forward?
Eileen Drake: Thanks for the question. So, as I've said, before the fundamentals of our business both on space and defense, we mean, very strong. You don't often see where you're kind of on an upward wave of both space and defense. And we are, and we believe we're focused on the right areas by investing in line with the nation's space and defense priorities that we've talked about. Also, while we're driving competitive improvement, this team has a track record of very successfully doing over the last seven years, and taking a billion dollars of costs out of the business. We have a very strong backlog, nearly $7 billion and this indicates a very strong customer demand for our products, and we're also making investments in the business. We have a very talented and dedicated workforce and super excited about the future.
Scott Forbes: Thank you.
Eileen Drake: Thank you.
Operator: Thank you. Our next question is from Seth Seifman with JPMorgan. Please proceed with your question.
Seth Seifman: Thanks very much, and good morning, everyone. Eileen, I read something in inside defense last week, about DoD, potentially looking for a third solid rocket motor source in order to be able to produce the hypersonic propulsion that they think is going to be required in the future. What's your thought process around that? Where do you feel like things stand right now, in terms of the overall solid rocket motor base, and what DoD is looking for from you and how that might evolve?
Eileen Drake: Yes Seth, if it's the same article I read, I think they were saying a second sauce to a current program, but nonetheless, as we and you mentioned, hypersonic. So when we think of kind of the hypersonic world, it really covers a range of national security capabilities, everything from deterrent missiles, tactical missiles, aircraft and missile defense technologies. And the great part of that is in [Indiscernible] is participating in all of those areas, and very, very well positioned for wins because of our leadership rally in developing hypersonic propulsion technologies. That's really built on decades of our experience. Over the long run hypersonic, as I've mentioned before, is expected to contribute to 5% to 10% of our total sales and DoD has identified hypersonic as a national priority. And the great thing is we're in a strong position to win significant roles in these programs going forward. And so we believe hypersonic is going to be a generational program for us, like many of our other franchise programs, and we're very well situated to get a big piece of that business in the future.
Seth Seifman: Okay, great. I guess digging in a little bit more on the quarter and the programs; I think the release mentioned a year-on-year declining in GMLRS. Obviously that's a place where we'll probably see some growth over time, I would think. What drove the decline in the quarter? And kind of how do you see that revenue coming from that program globbing?
Dan Boehle: Thanks, Seth. I'll take that one. Some of that is just timing with GMLRS. But as I mentioned we talked about RS-25 being the largest contracts impacted by supply chain, and then we did have a supply chain impact that, that, in effect drove the Standard Missile charge last quarter. But there are other pockets throughout the company that are having minor supply chain issues. So I'd say some of that downturn is GMLRS supply chain slowdown as well, which affected some of our timing of our deliveries. So I'd say that's the driver. And to your point, though, that is a program that we see opportunity going forward for growth. We do share that, the production of that with Northrop Grumman. So as much as we can get share there it will, will continue to grow. So…
Eileen Drake: Just maybe to tag team on that one. I think everybody has seen that Ukraine's fight against Russian invasion has really increased the demand for our programs to include GMLRS, Javelin, and Stinger. So we've had a number of inquiries about several of our tactical programs to include these three from both the Department of Defense and the missile prime customers. So we're really proud to be a part of these franchise programs and continuation of these programs is really part of the growth rate we've previously discussed. So given the increased interest in GMLRS, Javelin and Stinger we've mentioned before there is a potential to add volume to our outlook as these systems to replenish over the 2023, 2025 timeframe. And we're actively involved in discussions that could lead to contracts for these replenishment efforts.
Seth Seifman: Okay, excellent. And then with regard to GMLRS, I guess, when we think about some of the execution challenges there now. And then we think about kind of what happened on Standard Missile last quarter. I guess how, how confident you feel about the fact that you have your arms around issues on GMLRS, and we'll be able to stay, close enough to the delivery targets, and eventually catch up in order to maintain profitability on the program.
Eileen Drake: Yes, so I feel very positive about it. As we've mentioned, we have increased production, on a couple of our lines to include the Standard Missile. We opened up a brand new facility in Camden, Arkansas, just a couple of weeks ago to help on production and put a second shift on there. We're working with our supply chain. We also look at any bottlenecks in the supply chain where we need to do so. So we have quite a lot of activity in our supply chain to make sure that any suppliers that are very key and that can be a single source failure, that we're dual sourcing them to make sure that we're not impacted like we have been in the past when perhaps a supplier has a major issue like a fire or something else that we recently experienced. So we feel good about that. And maybe it sounds like to the last quarter I mentioned, really having some issues with hiring. I'm pleased to say that last quarter I mentioned we needed about 400 people that number is down at 250. And we've also seen our attrition rate come down which is nice. We've been doing that a lot through really expanding our predices [ph] programs are attracting talents. Sometimes you have to go outside of AMD to look at like industrial manufacturing, the chemical industry car manufacturing companies that have a huge focus on quality and delivery like we do so. I feel like we've made a nice improvement quarter-over-quarter on both opening up a couple of new facilities in Camden Arkansas. Our hiring efforts have seen a nice improvement and also the attrition rates coming down. And we also recently announced that we leased a pretty large building in Huntsville, Alabama where we're going to transfer some of the inner work from Camden, Arkansas to Huntsville, Alabama. And that will really help with some of the bottlenecks that we've seen recently. So this team is all over the operational improvements. And that's that a lot of that is why you've seen the nice uptick in the profitability in Q3.
Seth Seifman: Great. That's, that's, that's very good color. Thanks. And then maybe just last one. Dan, if we look at 2020 and 2021, I think RS-25 was fairly consistent, $375 million or so sales and just kind of I've always kind of thought of that as kind of a steady program going forward. To the extent that there winds up being a shortfall there in 2022, is that something that, becomes a catch up? And so 2023 becomes the baseline sales plus, whatever, did not show up in 2022? Or is that not the right way to think about it, and just kind of 375 going forward.
Dan Boehle: So I think that is a good way to think about it. That driver, as we've mentioned, is largely supply chain driven, so receipts with materials, and so that should push into the next year, and you should see an uptick. But again, it's -- this is a long term program and that we recognize revenue based on cost to cost. So it will kind of normalize and flatten out, but you will get some lumpiness when we do receive those materials over time. But yes, I, to your general point, I think you can set your 2022 and expect it's going to go up.
Seth Seifman: Okay, thanks. I'll pass along and get back into the queue. Thanks.
Eileen Drake: Thank you.
Operator: [Operator Instructions] Our next question is from Michael Ciarmoli with Truist Securities. Please proceed with your question.
Michael Ciarmoli: Hey, good morning, guys. Thanks. Thanks for taking the questions. Maybe, maybe just to stay on the supply chain just, just for clarification. I mean, Raytheon continues to call out the rocket motor supply chain. There's they talked about technical problems, and they're not seeing the recovery until first half 24. Is this is -- you guys or is -- and they've been talking about this for several quarters now. But can you just give any color there? If it's if it's these are related to some of your programs or anything you can provide there?
Eileen Drake: Yes, so I guess I'll start and good morning. So as we mentioned, we took a significant EAC adjustment in Q2, and that was a portion of Standard Missile, and that. That is supplied to our customer, Raytheon. So that is our piece of that. As I mentioned that was the new manufacturing facility. I mentioned that we just opened up in October to help with that. And that's where we did have a supplier issue. We had a fire at a supplier. We do sauce that and now we have a second sauce. So we're up and running, and we opened up the new facility. So we could do a catch up with a second shift. We could just talk to make up that production when you're down due to a major supplier issue. And also, the big fact why we took the EAC adjustment and spent the money to facilitate a new building and bringing new employees in is because not only did we want to make sure that we caught up on that contract, but we have opportunity actually to end the contract early. So I feel like we've recovered, we have some catch up with that, but that that's our piece of the Raytheon supply chain issue. And I'm not sure of the other issues that they might be having.
Dan Boehle: Yes, I'll just touch on your comment. So, Michael, about the timing. As Eileen said, that particular piece of that program we're working on, we're going to get it ahead of schedule, but that schedule is intended to end about early 2025. So that kind of correlates with the timeframe that they're talking about. But as it was like in our piece, Raytheon I'm sure has like I speak for them, but probably other issues on that program of their own.
Michael Ciarmoli: Got it. That's helpful. And it just to be clear, from a modeling standpoint, I think last quarter, you guys said, mid-single digit revenue growth for this year, but I think you said it's now more kind of low-to-mid-single, because if you were going to get that that mid, it would imply a pretty steep sequential ramp year into the fourth quarter. But just given some of the supply chain tightness, it seems like we should be calibrated towards more of a low low single digit growth rate for the year for 2022.
Dan Boehle: Yes, for 2022 you're correct.
Michael Ciarmoli: Okay.
Dan Boehle: We do see a significant cramp.
Michael Ciarmoli: Okay got it. And then just maybe, Dan, one last one. And it just kind of general inflationary environment? How are you guys managing through this on some of your fixed price contracts? I mean, are you able to pass some of these costs through? Are you having to wait for the next sort of task order or any any color just as to how you guys are managing through the, the inflationary environment?
Dan Boehle: You continue to ask this question. We -- I posted the businesses on this question. And we're still not seeing anything significant on an increase from an inflation and enlarger. That's because the majority of our large, fixed price contracts are on multi-year contracts right now. And so we have multi year, fixed price PO’s with our suppliers. And so we're not feeling that increase in prices, we're on fixed prices with them. So, again, we will see as we come through the cycle of the negotiations of the next multi years, which will start kind of at the end of 24th, and 25, we might see increases in their prices at that time that we would flow upward to through our contracts as well. So if inflation continues through that period, but we're not seeing any near term impacts from it.
Michael Ciarmoli: Got it? Got it. And what, maybe just doesn't think near one last one, just on the backlog? Down a little bit, sequentially, but can you just maybe characterize what you're seeing in terms of the demand environment on sort of the shorter cycle? Call it off tempo tactical systems in the portfolio? You mentioned Ukraine that that's going on, there's presumably going to be some significant replenishment here. Do you think you're seeing the demand signals? Or should we expect an uptick in whether it's Javelin, Stinger, [Indiscernible] anything else that that might drive bookings in the in the coming period year?
Dan Boehle: Michael, I -- we do see signals there. But we are, those are those will come through the primes to us. And so in the very near term, we don't have any. I think we have one firm order on Stinger, but haven't seen firm orders yet for Javelin in the increases in GMLRS. So we do expect them to come. And this rhetoric around the money that's been put aside for the replenishment, but we don't have firm orders yet. But probably in the next couple of years.
Michael Ciarmoli: Got it. Perfect. Thanks, guys. I'll jump back in the queue here.
Dan Boehle: Thank you.
Operator: Thank you. Our next question is from Seth Seifman with JPMorgan.
Seth Seifman: Thanks very much for the additional question. I couldn't latch [ph] off the call without asking I imagine I will get asked as well. Net cash balance at the end of Q3, based on the Q4 projection, probably a higher net cash balance at the end of the year. Post the convert, how do you think about capital deployment headed into 2023?
Dan Boehle: So Seth, we are still as you, as you also may have noticed, we've extended our senior credit facility. The termination of that was going to be September of next year. The maturity we've pushed that out a couple of years to give Eileen and our board continued time to work out the strategic capital deployment objectives of the company. So that is something we're still taking a very close look at. The board has now met twice, we continue to have those conversations and looking at all the different opportunities that are available to us whether that be organic growth, inorganic growth. We do need, we do have visibility into you spoke about the large solid rocket motor opportunities we have going forward. There are some capital expenditures we do need to make to do that. So we have some internal capital deployment to make. But then we're looking at other strategies or what have you. And again, extending that credit facility that we have right now give us time to kind of think about what that structure is going forward.
Seth Seifman: Great, thanks. Thanks very much.
Eileen Drake: Thank you
Dan Boehle: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Eileen Drake for any closing comments.
Eileen Drake: Great. Thank you. And just a few words to wrap up. You can see that we're focused on the right areas to position Aerojet Rocketdyne for continued profitable growth by investing as I mentioned in line with our nation's priorities and driving the improvements to our operations. I'm incredibly proud of this team and the work we've accomplished this quarter. And collectively, we appreciate the trust of our customers and we remain laser focused on delivering value for our shareholders. And with that, thank you everyone for your time today and enjoy your day. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.